Operator: Good afternoon, everyone. Thank you for standing by. My name is Matt and I will be your conference operator today. I would like to welcome everyone to the NortonLifeLock Fiscal 2023 First Quarter Earnings Call. Today's call is being recorded and all lines have been place on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. At this time for opening remarks, I would like to pass the call over to Ms. Mary Lai, Head of Investor Relations. Miss, you may begin. 
Mary Lai: Thank you, Matt, and hello, everyone. Welcome to the NortonLifeLock Fiscal 2023 first quarter earnings call. Joining me today to review our Q1 results are Vincent Pilette, CEO; and Natalie Derse, CFO. As a reminder, there will be a replay of this call posted on the IR website, along with our slides and press release. I'd like to remind everyone that during this call, all references to the financial metrics are non-GAAP and all growth rates are year-over-year, unless otherwise stated. A reconciliation of non-GAAP to GAAP measures is included in our press release, which is available on our IR website at investor.nortonlifelock.com. Today's call contains statements regarding our business, financial performance and operations, including the impact on our business, industry, that may be considered forward-looking statements and such statements involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Those statements are based on current beliefs, assumptions and expectations and speak only as of the current date. For more information, please refer to the cautionary statement in our press release and the risk factors in our filings with the SEC and in particular, our annual report on Form 10-K for the fiscal ended April 1, 2022. And now, I will turn the call over to our CEO. Vincent? 
Vincent Pilette: Thank you, Mary, and welcome, everyone, to our call. After a very lengthy process in the UK, we are pleased to have received provisional approval from the Competition and Markets Authority for the acquisition of Avast. Our hard work has paid off and we are excited to start the process of bringing the two companies together with a great purpose and mission of bringing digitalized protection and empowerment to everyone. As I have shared before, our two companies share a similar vision and both have common values and complementary strength. As soon as we can bring us together, we will get started on delivering all the benefits of our new company to consumers, shareholders and other stakeholders. Together, we will serve about 500 million users globally, sell premium products to consumers for more than $3.5 billion in revenue and have around 4,000 employees dedicated to the mission of protecting and empowering people to live their digital life safely. Advanced strength in privacy and NortonLifeLock's strength in identity, supported by our combined AI capabilities, creates a broad and complementary product portfolio beyond core security and towards adjacent trust-based solutions. On top of that, the merger will broaden our geographic diversification, increase our presence in multiple channels and also serve very small businesses. We will have the opportunity to empower millions of consumers around the world, with our complementary product portfolio and culture of innovation. And while the world is in a different place than when we started this journey over a year ago, one thing is for sure people want to continue to enjoy the advantages of a digital world without compromising their security, privacy and identity and our sole mission is to bring that and more to everyone. Our combined financial profile is substantially enhanced through increased scale, long-term growth potential, synergies, strong free cash flow generation, supported by a resilient balance sheet. As I mentioned, based on our last reported financials for both companies, we will scale our combined revenue to over $3.5 billion. And the combinations will unlock significant value creation to approximately $280 million of annual gross cost synergies and will give us the capacity to reinvest for innovation, partnerships and marketing to further accelerate our transformation. We will have created operating leverage of approximately 52% in blended operating margin that is pre-synergies, delivering approximately $1.5 billion of annual free cash flow, also pre-synergies. The combination is another value creation enabler, as we march towards our long-term objective of $3 in EPS. We look forward to reaching with Avast and restarting the integration planning activities. Once the transaction is closed, we will be able to share more details on the combined business and its financial model. So in terms of what's next, we will continue to work closely as quickly as possible after the CMA publishes its final approval, which is currently expected to be in early September subject to change. Based on what we know today, we anticipate the closing date of the merger, is expected to be between mid-September and sometimes in early October. So with that, let me say a few words on our Q1 results. While we observed weaker consumer sentiment, and inflationary pressure impacting the consumer discretionary spend, we are proud to deliver our 12th consecutive quarter of bookings growth, with Q1 bookings up 5% in constant currency and revenue up 6%. The quarter's performance tracked in line with our mid-single-digit bookings growth projection, for fiscal year 2023, which I view as a demonstration of the stability that our business operating levers, provide in a challenging environment. Our direct revenue grew 5% in constant currency, on top of another strong COVID-led double-digit growth quarter a year ago. In this new environment, our focus has been on balanced performance across a set of very healthy customer metrics. Total customer count was stable at over 23.3 million, up 200,000 year-over-year but down 200,000 sequentially. Throughout the quarter, we saw the impact of the macro level headwinds in our direct-to-consumer website global traffic, slightly offset by solid conversion rates. While these headwinds have limited our ability to grow customer count this quarter at the pace we aspire to, it's important to highlight that our overall customer base is healthy, with stable retention rates, stable ARPU and opportunity to continue to drive cross-sell upsell, as we launch new products. Our retention rate remained very strong at slightly over 85% in unit. Customer cohorts who joined during the so-called COVID period, have retention rates at par with prior years. And through our operational initiatives, we continue to make progress in first year renewal rates. Our efforts have led to happier customers supported by products, that are easier to download and easier to use. Since we became a dedicated consumer cyber safety company, we have grown our direct customer base by approximately three million to reach over 23 million customers, and at the same time improved our retention rate, by almost a point during the period. Another set of activities we are focused on, is delivering more value to more customers in our partner business.  In this set of indirect channels, we delivered double-digit revenue growth for the seventh straight quarter up 16% in constant currency, in this first quarter of fiscal year 2023. We had very healthy bookings in Q1, including double-digit bookings growth in both mobile and employee benefit channels, channels in which we added approximately 200,000 customers year-over-year and stayed flat sequentially. As we continue to build a more global and more diversified go-to-market model, we look forward to combining with Avast, which will allow us to accelerate our strategy of expanding identity and privacy solutions across the globe. A year ago, we stated that we would transform our company by building a richer product portfolio, and we have continued to work towards that.  We are off to a good start in fiscal year Q1, for the -- on the product side. In Q1, we have made good inroads from our recent launch of the Norton Identity Advisor Plus, for the UK market and we've expanded the product's availability to Australia, New Zealand and Germany. This is yet another example of our international expansion efforts, bolstering our identity capabilities. We also continue to earn positive product reviews from important technology reviewers. Just last month, we were awarded PC Magazine number one Identity Theft Protection software, for 2022. Specifically this was Norton 360 with LifeLock product, awarded to provide the best overall identity protection in the industry. This is just one of the many times, we have been recognized for our overall product innovation and development efforts. We continuously assess and prioritize our product road map, and we know we still have big opportunity to expand our product portfolio especially in areas beyond core security. But above all, what guides us is our focus on providing quality and value in our products. It is about a seamless end-to-end customer experience, and comprehensive protection while making it simpler for consumers to engage with us and stay safe. Cyber safety will continue to be an evolving and growing market, fueled by the increase in activities online, which brings more risk and challenges to consumers' digital lives. With the merger with Avast together, we are well positioned to drive the transformation of consumer cyber safety and pursue our long-term objective, while being financially resilient in any environment that comes ahead of us. And with that let me turn the call to Natalie to cover our results in more detail. 
Natalie Derse: Thank you, Vincent and hello everyone. For today's discussion I will start with Avast update followed by our Q1 performance details and our outlook for Q2 fiscal year 2023. I will focus on non-GAAP financials and year-over-year growth rates, unless otherwise stated. I'd like to echo Vincent's excitement about the merger with Avast. We're thrilled to have this positive outcome and look forward to closing the acquisition.  We will immediately restart our pre-integration planning efforts as we prepare to scale the combined company and work to achieve the $280 million of annual gross cost synergies. Let me give you a quick refresher on the transaction financing done in conjunction with the merger which we successfully raised earlier this year. In total our financing package is comprised of $7.6 billion of Term Loan A and Term Loan B at spreads of 1.5% to 2% plus $1.5 billion revolving credit facility. This will replace our existing $1.7 billion Term Loan A facility and $1 billion revolver. While the interest rate environment has changed since we first announced the merger last year, we still feel good about the rates we were able to lock in. The acquisition financing will become funded at deal close. Once the deal is closed we will share more information on our long-term model and the timing of our $3 EPS objective.  Now on to our Q1 results. Q1 was a good start to our fiscal year 2023 especially considering the macroeconomic pressures and volatile FX environment. Our business is resilient. Our customer base is healthy and we continue to execute with discipline. Our Q1 revenue was $708 million, up 6% in constant currency and up 2% in USD including a 4-point currency headwind translating to a revenue headwind of $27 million year-over-year. Similar to last quarter we saw continued currency volatility with both the euro and yen depreciating further against the US dollar reaching 20-year lows. It is the third straight quarter in which currency has been several points of headwind to our top line growth. We anticipate these headwinds will remain for a full year of compares as we plan the business at today's exchange rate with euro and USD near parity and a weaker yen. Despite these macro headwinds, we remain focused on execution against our business opportunities in driving towards our long-term objectives. Q1 bookings grew 5% in constant currency on top of a 10% constant currency bookings growth in Q1 last year and in-line with our full year projection of mid-single-digit rate of growth. We've launched new identity solutions and we've seen an increase in both geographic reach and adoption. Our expansion efforts are working as Q1 was our sixth straight quarter of high single-digit rate of growth in our identity and privacy products. Our direct revenue grew 5% in constant currency and 1% in USD impacted by 4 points of FX headwinds.  Looking across our other key operating metrics. Q1 direct customer count grew by approximately 200000 year-over-year, but declined by approximately 200,000 quarter-over-quarter as we saw headwinds in select markets. Overall customer unit retention remained stable above 85% and we continue to drive incremental improvements to key cohorts including our newer customers. Our monthly average revenue per user or ARPU was $8.82. However, adjusted for FX, ARPU expanded nearly $0.30 year-over-year and expanded $0.07 sequentially, an indication of our successful cross-sell efforts. We have a very healthy resilient customer base and we remain focused on driving new customer acquisitions retaining our existing customers, as well as increasing engagement with new products and services. Turning to our partner business. Partner revenue was up 16% year-over-year in constant currency up 10% in USD and marks the seventh consecutive quarter of double-digit growth. We see traction with our identity expansion efforts through partners driving strong growth in our employee benefits channel and scaling key international partnerships like TELUS. Diversification and expansion of our go-to-market channel is a key growth tenet in our long-term plan and we will continue to invest in these areas.  Turning to profitability, in Q1 we achieved gross margin of 86% roughly flat year-on-year, while at the same time expanding and adding more features to our product offerings. Our operating margin for the quarter was 54% up 250 basis points year-over-year driven by both our revenue growth and our cost discipline with overall spend down 3% year-over-year. As you've heard me say before, we are intentional with our investments and how we fund our business to drive future growth. Our G&A functions remain lean with spend at less than 4% of revenue for the second quarter in a row. With regards to R&D we continue to be disciplined and invest in new product development and innovation. With our marketing dollars we strive to balance across the portfolio and across channels. With intentional customer acquisition targeting while, focusing on long-term sustainable growth. We will continue to be disciplined with our cost structure across all functional areas as we operate in this increasingly challenging environment. Q1 net income was $265 million up 7% compared to last year. Diluted EPS was $0.45 for the quarter up 7% year-over-year, including $0.03 of currency headwinds and above based high-end of our guidance range. Adjusting for the impact of currency EPS grew more than twice the rate of revenue at 14% year-over-year. We remain committed to driving EPS expansion and achieving our long-term EPS objective of $3. Turning to our cash flow and balance sheet, Q1 operating cash flow was $215 million and free cash flow was $213 million. In Q1 we returned nearly $400 million back to shareholders. We repurchased $300 million or 12 million shares in buybacks in the quarter, and now have approximately $1.5 billion remaining in the current share buyback program. We paid approximately $73 million to shareholders in the form of a regular quarterly dividend of $0.125 per common share. For Q2 the Board of Directors has approved a regular quarterly cash dividend of $0.125 per common share to be paid on September 14th 2022 for all shareholders of record as of the close of business on August 22nd 2022, as described in the press release. Separate from the transaction financing I discussed earlier our net debt leverage was approximately 1.4 times in the quarter. We settled in cash our $400 million senior unsecured notes that matured in June. We also plan to settle in cash our 2% senior convertible note due in the middle of August and that cash settlement will hit our cash flow in fiscal Q2. As we all know the debt environment has been volatile and rapidly changing we will continue to assess our overall debt needs and leverage profile. Given our high cash flow generation and strong levels of liquidity we are confident in our ability to manage through this environment accordingly. Now turning to our Q2 outlook. Based on the continued strengthening of the U.S. dollar quarter-to-date we anticipate an even larger currency headwind. But I want to emphasize that the underlying health of our business remains strong. For Q2 we expect non-GAAP revenue in the range of $695 million to $705 million which translates to mid-single-digit rate of growth year-over-year in constant currency and reflects a projected FX headwind of four-plus points of growth or approximately $30 million. We expect Q2 non-GAAP EPS to be in the range of $0.44 to $0.46 per share which reflects $0.03 of headwind year-over-year. Our Q2 guidance assumes the Avast deal closes in early October 2022. For fiscal year 2023 we continue to expect bookings growth to be in similar ranges of mid-single digits in constant currency. Considering the close timing of the Avast merger we will not be providing an annual guidance at this time. We plan to provide more details on our overall financial model when we close the transaction. As always thank you for your time today. And I will now turn the call back to the operator to take your questions, Operator?
Operator: Thank you. [Operator Instructions] The first question is from the line of Saket Kalia with Barclays. Your line is now open.
Vincent Pilette: Hey, Saket.
Saket Kalia: Hey, guys. Hey, Vincent. Hey Natalie. Thanks for taking my questions here and congrats on the news from CMA. Vincent maybe before we talk about Avast, I was wondering if you could just touch on some of the dynamics between your partner business and the direct business. It just feels like there's been a little bit of a shift between those two routes to market. And so maybe the question is, is that intentional? And can you just walk us through what's happening there especially given the decline -- the sequential decline in direct subs this quarter?
Vincent Pilette: Yes. So definitely, as you know, we have been investing in our partner channels. We've been saying that now for many, many quarters. It represents about -- slightly above 10% of our overall business and we believe that there is more opportunities to go to other channels and/or to partner with other solution providers to provide a combined solution to consumers. I mentioned the two channels we like. Of course, it's the mobile channel. Some of our competitors have moved that channel into a direct. It basically goes through app stores, and it's not in our direct business today because of the billing definition, doesn't go to us directly. But to be honest with you, the consumers gets on our platform and we have direct access to them and communicate and provide value. So, that has been growing. We're seeing definitely a shift towards mobile users. A few quarters ago, we crossed the Norton 360 platform to be the majority of the product sold on mobile, which is a very good sign. And you'll see us continue to move up in that channel good momentum. The second one is employee benefit. It goes through employers that offer to their employee full protection in the cyber world, identity protection privacy and device security. There too, we have the direct engagement with the customers on our LifeLock platform but the payment goes to the payroll of the company that supports that. We believe we have more to go in mid-market. We continue to invest in our direct sales partnering with the broker to penetrate that. And you'll see continued growth and focus both on the product marketing development side as well as the channel side. So, those are the direct engaged customers in our partner business then we have another set of channels that go and combine with other provider of other solutions to provide a full package. So, here like for example, the partnership with TELUS in Canada to bring cyber safety along with the TELUS solutions to Canadians has a very strong momentum. And you'll see us continue to expand. Travis Witteveen, who was the CEO of Avira, ton of experience in the environment, has become our customer acquisition chief, if you want, a few quarters ago and he's developing his team. And along with his team, they're definitely building up the funnel of new opportunities. So, you'll see us continue to invest in that. I do want to say a few words on the direct business. The direct business you mentioned the sequential slight decline and you're right on that. The metrics are very healthy. Retention rates have been very strong across all cohorts. We said a year ago, we would improve the first year retention rate and we have by a few points. Over the last 24 months, we've increased overall retention by a little more than 70 basis points. And so you see continued operational initiatives, whether it's on how the product is being downloaded, how it's being used, how the value is demonstrated to the customers, that improve customer satisfaction and then overall retention. So focus on that healthy set of customers. The gap or disappointment, if you want for the quarter, is really related to the macro level headwinds that we saw with lower traffic or global traffic on that cyber safety website, if you want. Conversion rates still holding well, but it's about the traffic. It was volatile. There were pockets of weaknesses, other pocket of areas where we continue to invest, because we're here for the long-term. And as we navigate through the volatile environment, we know we provide a product that will be needed in an area that has structural growth.
Saket Kalia: Got it. Got it. That's very helpful. Natalie, maybe for you. The operating margin here continues to really outperform and be higher than expected. Can you just talk about how you're balancing investing in new customer acquisition versus managing for profitability? How do you think about that?
Natalie Derse: Yes. Hi, Saket. Thanks for the question. Yes, operating margin of 54% now for two quarters and up 250 basis points year-over-year. We're proud of that. That points to what a healthy business model we have and combined with our team's commitment to operate in a disciplined manner. New acquisition is absolutely a key tenet of our overall growth strategy. We've been clear about that. But it's not the only one. We have multiple levers to help drive our growth and it's not growth at all costs and that's where the balance comes in. We've continued to invest in customer acquisition marketing. You can see that. We talked about we spent a lot of time focused on that both through our direct channels and now as well even more so in our partner channels. We're committed to the growth focus approach when it comes to sales and marketing. And honestly, we recognize what a competitive industry we operate in and that consumers have choice and we need to work really, really hard to win that choice. But in addition to investing in marketing where we've been investing more and more is in product. We've launched some really cool several new offerings. We continue to diversify the go-to-market channels. We continue to invest in our customer service offering. And I think from that combination of investment that's where that ARPU growth is really coming from both year-over-year and quarter-over-quarter and it allows us to sustain and scale our unit retention of 85%-plus both proof points of healthy acquisition that we've seen over the last 10 months -- 10 quarters excuse me. That combined with we stay committed to operating G&A as lean as possible the last two quarters being less than 4% of our revenue obviously provides us a lot of leverage for reinvestment. So as we navigate forward we'll continue to balance the growth and profit both are important. I don't think we have to pick. I'm confident we'll find a way to strike that right balance through that -- the disciplined approach that we've applied for now since we've stood up NortonLifeLock. And above and beyond all that we're just very, very excited about the additional opportunities we have as we combine with Avast. 
Saket Kalia: Got it. Got it. That makes a lot of sense. If I can squeeze a third one in. Vincent maybe for you. We can't go on without asking a question on Avast. And I know that we can't talk too much about specifics until the deal is closed. But maybe philosophically as you've gotten to know Avast's business more and study this market more, I guess how do you think about potential revenue synergies with the combination of NLock and Avast? I mean, certainly you're clear about the expense side. Just as you spend more and more time with really both companies how do you think about the revenue synergies between the two? 
Vincent Pilette: Yes. Well, thanks for your question. I would be very disappointed not to have a question on Avast. I think this is a very, very exciting news. Talked to Andre yesterday. I know the Avast team is also super excited about coming together. And we know we are about to create the foundation of an even stronger company with a very broad mission of that digital freedom for digital lives. We discussed that a few quarters ago, but when we made the acquisition model or the transaction model we based the merit of this transaction on cost synergies overlapping activities to the tune of $280 million that I've talked about. And we wanted to have the value of that transaction to be based on that. We also said we would reinvest a portion to accelerate the top-line growth or transform the profile of our revenue. We did not include in our acquisition model revenue synergies for many reasons, but certainly not the reason that it will be our priority number one as soon as we close. We see the opportunity. And I see three buckets of opportunities if you want conceptually without giving any numbers. The first one is on the retention side. NortonLifeLock has developed a set of capabilities and operations and experience that drive high NPS and retain at 85% in unit. That equivalent number is 68% in Avast at least in the last reported numbers. And we know that we can bring a lot of the practices and the approaches as we bring a stronger portfolio to the consumers to improve that retention rate. There may be some mix differences by geography or product mix. But even when we compare during due diligence number we know we have opportunities there. So that's bucket number one. The second one is the cross-sell upsell capabilities. We've just introduced those capabilities in NortonLifeLock about 1.5 years ago. And we know Avast has been developing the entire business model on that, offering a basic product for free. And then delivering, showing demonstrating more value to the consumers to a point where the customer is ready to pay for that value and then growing that value offered to the consumers. We look forward for Avast to bring those operational skill sets if you want into our overall combined company, while we bolster a richer portfolio. So Identity, a Lifelock equivalent services that we started to expand internationally will be offered to Avast customers as an example. And Avast has had a focus more on privacy. When you combine the two, it will be a very rich portfolio to cross-sell and deliver more value to consumer. That's the second set of revenue synergies. And then the third one is across the complementarity of the geographical footprint whether it's US versus international from our standpoint, for their standpoint Europe versus the rest of the world. But even then they were more about emerging markets we're more about Western markets. And so I see a lot of complementarity as we bring a richer company together. Locally, we can accelerate our penetration including in the VSB or very small and small business area where Avast has already a small channel. And as you know we were not present yet some of those businesses have exactly the behavior of consumer. So the third bucket is around geographical footprint and expanding the channel as we come together. As soon as we close the acquisition, I can tell you -- we'll be -- the first task that we'll get started on that. And then as soon as we're ready and the deal is closed, we'll share more with investors what our long-term plan is in this area.
Saket Kalia: Okay, great. Looking forward to it. Thanks again.
Vincent Pilette: Thank you.
Operator: Thank you for your question. The next question is from the line of Matt Hedberg with RBC. Your line is now open.
Simran Biswal: Hey, everyone. This is Simran Biswal for Matt Hedberg. Thanks for taking our question. So we were just looking and thinking about the current macros and how security seems to be more resilient. So we were wondering, how you were thinking about the durability of these consumer security trends?
Vincent Pilette: Yeah. And when we talk about security we really talk about for us cyber safety, which is not only your device security but it's also the protection of your digital identities all the way to the restoration and insurance you could have when something is breached from your device or from any transaction that can be processed into the cloud. We know that cybercriminals continue to increase. I was reading a report earlier on that it was like up 7% in the first half just in Europe. And so we'll continue to see pressure from that. We know consumer penetration in terms of full protection is not yet at the level of other protection industries such as insurance industries or others. And so we have more room. We feel really good about the long-term structural growth opportunity that our markets offer and that together with Avast we will address and continue to expand. Now it does not mean, of course, that in the short-term, you still have volatility, you have inflationary pressures, you have consumer sentiment and people will look at some of those costs and may see this as a discretionary spend. So we definitely have pressure. We saw it in our global traffic this quarter. But at the same time we have a lot of levers to drive and deliver the value. 85% of the business is coming from the renewal base and one the consumer is in we've seen very stable retention rates through the last quarter. But frankly also as I studied the business when I came in two years ago, it was similar behavior in 2008 or 2009. So you see a lot of resilience into people who already know they need security on or in the digital world even though volatility may put pressure on new customer acquisition in the short-term.
Simran Biswal: Okay, yeah. Sounds great. And just a quick follow-up from the customer perspective. You mentioned really healthy customer metrics and cross-sell has been accelerating and great execution on that front. So how are you thinking about customer additions and up-sell in a more challenging macro over these next few quarters?
Vincent Pilette: Yeah. Thank you. Well, the good news once a customer is in and has a basic protection is that we can also make them aware of the moment of truth that we call insight, which is a moment at which you connect to the Internet when you are at a coffee shop or a moment you transfer data on the web and ensuring and monitor that you fully protect it. At which point in time, we can then raise the value to you of being fully protected versus partially protected. And so constant assessment and finding the right moment give us the opportunity to continue to cross-sell. We still have the vast majority of our customer and customer base to be in the first part of the lower value part of our total value curve if you want from basic device security all the way to like full protection. So we still have a lot of room to continue to educate and drive and demonstrate the value as the consumers move up the value chain. 
Simran Biswal: Great. Thanks.
Operator: Thank you for your question. The next question is from the line of Fiona Hynes with Morgan Stanley. Your line is now open.
Fiona Hynes: Hi, everyone. This is Fiona on for Hamza. Thank you for taking the question. It's sounding like from previous commentary on this call that going forward a big part of driving growth between Avast and NortonLifeLock is going to be the pairing of identity and privacy offerings. So I was wondering if you could give us some more tangible use cases of how consumers can use those like basically bundle those two different offerings together? And what's kind of your vision going forward for that cross-sell motion? Thank you.
Vincent Pilette : Yes. Yes. So we'll talk about cross-sell, upsell revenue synergies when the deal is closed. But conceptually it's all about completing the value of all of the use case you protect the consumer for and refining how you communicate in the app or on the platform all of the risk the consumer face is an important one. It's a fine balance too. You want to do it respectfully and demonstrating the value at the same time. We know that the entire identity protection or theft protection restorations and insurance is something Avast does not have and we can really offer, as we combine that with security. Avast started to move from security to privacy. They have BreachGuard other views. And so combining the product portfolio working on the integrated platform they have Avast One we have Norton 360, we'll have to figure that out. And then leaving product value that customer can step in once they have basic -- as I mentioned, most of our customers are in the basic platform have basic benefit to see how they move to the next one. The practices are about the same. At the end of the day as the product portfolio become richer it's all about the ease of use, ease of downloading how you use that. And we've made a lot of effort on our product to do that and expect us to continue as we come together. 
Fiona Hynes: Got it. Very helpful. Thank you. Maybe one more follow-up if I could another question touching on the macro. Obviously, we see there's some headwinds in the customer acquisition this quarter. I was curious for your review and your sense of how much of that is just traditional seasonality given it's the summer months and PC shipments are seasonally weaker around this time period? And how much of that is kind of, what you're seeing on the ground real time in terms of potentially moderating macro environment? Thank you.
Vincent Pilette: Yeah. No, definitely, we historically had a Q3 quarter, which is fiscal Q3 for us which is a December quarter being stronger more on the security side and April quarter our Q4 quarter being strong on the identity side linked to some events such as tax and other things. To be honest with you, over the last two years, whether it's because of COVID or other macro level as well as the fact that we more and more provide one combined value of full total protection we've seen less seasonality. But you're right that in the moderate seasonal effect, if you want the June quarter, would be a low quarter. So from that perspective, our expectation was in line to a lower seasonality. With that said we did see some headwinds what we call pocket of weaknesses, where we continue to invest at the same rate, because we know we're here for the long term and it's a portion of our investment that goes towards education, but we saw lower traffic. And so we're really monitoring and flipping across the set of channels we have here to try to improve the return on our marketing spend. Do you want to add anything Natalie?
Natalie Derse: Yeah I just think – we think about – even as a consumer you feel the macroeconomic environment you feel inflation, you feel pricing pressures. I would combine that, with some of the other markers that we see across the industry with PC shipments down now double digit not that we're entirely connected to that, but it's just another marker that shows us what's happening in our industry. And it just – it honestly fuels us. We've got to be much, much more intentional. We've got to be much, much more competitive in order to win over the customer choice that's available. And then we do through a disciplined approach, we spend so much time and effort making sure that those customers are – is highly engaged as possible. We provide great customer service, and we want to be fulfilling as much of that cyber safety need, as we possibly can. So that's where we spend most of our time.
Fiona Hynes: Got it. Very helpful. Thank you all for the time.
Vincent Pilette: Thank you.
Operator: At this time, there are no more questions. I will turn the call back to Vincent Pilette, CEO for closing remarks.
Vincent Pilette: Thank you, Matt. Before I close the call, I would like to take a moment to thank our NortonLifeLock team for contributing to our success each and every day. As you've heard me say before, we truly have an ambitious team dedicated to the mission of the business we're building. I would also like to say a few words on the upcoming changes on our Board of Directors. On behalf of the Board and the leadership team, I want to thank Ken Hao for his contributions to the company over the last six years, helping NortonLifeLock through the successful transition to a stand-alone consumer cyber safety company, and unlocking tremendous shareholder value. Ken has been a great board member and also a trusted partner to me as the first time CEO. We wish him well and I'm sure, we will stay in touch. We have been waiting for 12 months for the approval of our deal with Avast, and we are so ready to dive in. I talked to Andre yesterday, as I mentioned, and I know that the Avast team feels exactly the same way. The company is well positioned to deliver long-term value in pursuit of our vision. So, thank you for joining and for your continued support of our company and our team.
Operator: This concludes the conference call. Thank you.